Operator: Good afternoon everyone. Welcome to the Superior Group of Companies' Third Quarter 2024 Conference Call. With us today, are Michael Benstock, Chief Executive Officer; and Mike Koempel, Chief Financial Officer. As a reminder, this conference call is being recorded. This call may contain forward-looking statements regarding the company's plans, initiatives and strategies and the anticipated financial performance of the company including but not limited to sales and profitability. Such statements are based upon management's current expectations, projections, estimates and assumptions. Words such as expect, believe, anticipate, think, outlook, hope and variations of such words and similar expressions identify such forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties that may cause future results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties are further disclosed in the company's periodic filings with the Securities and Exchange Commission, including, but not limited to the company's most recent annual report on Form 10-K and the quarterly reports on Form 10-Q. Shareholders potential investors and other readers are urged to consider these factors carefully in evaluating the forward-looking statements made herein and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to update the forward-looking statements, except as required by law. And now, I'll turn the call over to Michael Benstock. Please go ahead.
Michael Benstock: Thank you, operator and welcome everyone to today's call. I'm going to start with third quarter financial highlights and then discuss our three business segments. After that, I'll hand it over to Mike, who will walk us through a more detailed financial discussion, as well as our outlook for the rest of the year. When Mike is done, we'll open the call for your questions. Our overall third quarter performance improved versus the second quarter as well as the year earlier quarter with top line growth and greater profitability. While we still sense some hesitancy on the part of customers given the uncertainty that's existed all year around inflation, interest rates, the presidential election and geopolitical conflicts, we achieved the acceleration over the first half results that we spoke about on our Q2 call. You might recall that we contemplated the benefit of the revenue shift into the third quarter, resulting from the second quarter supply chain issues. We continue to execute internally to make the most of these still somewhat soft market conditions. On a consolidated basis, we produced revenues of $150 million, up 10% versus the year ago period, driven by double-digit growth in both health care apparel and branded products. We are proud to say that these are the highest quarterly revenues ever achieved in our core products and services. The only other time we have ever slightly exceeded this was in Q2 2020 when our revenues were largely made up of PPE in response to the early stages of the pandemic. EBITDA of $11.7 million was up 26% from $9.3 million and our EBITDA margin expanded a full percentage point to 7.8%. Breaking this down further, our gross margin percentage climbed 130 basis points over the prior year and we were able to hold SG&A as a percent of sales almost flat at 34.9%, which includes the growth-oriented investments mentioned in prior quarters. Putting this all together, our third quarter diluted EPS rose to $0.33 from $0.19 a year earlier. On top of all this good news, we also continue to strengthen our financial foundation by generating another quarter of positive operating cash flow, which allowed us to improve our already strong net leverage ratio. Going forward, our financial strength will allow us to continue our strategic investments to capitalize on the compelling growth opportunities within our three very attractive end markets. Before turning to a discussion around our segments, I'll reiterate what I mentioned on prior calls. From a big picture standpoint, Superior Group Company still has a very small, but expanding share of three large growing and highly fragmented end markets. We are intelligently investing in our people services products and technology to continue to take more than our share of new customers with an emphasis as always on excellent retention of existing customers. Now, let's shift to our business segments, starting with Healthcare Apparel. Our third quarter revenue was up 11% versus the prior year quarter, benefiting from growth in our online channels, both wholesale and direct-to-consumer, despite continued soft market conditions in the wholesale channel of our business selling to health care apparel retail stores. Our third quarter revenue also benefited from the timing of revenues as compared to last year due in part to the supply chain issues in Q2 that we already mentioned. The increase in our gross margin percentage of more than 300 basis points was partially offset by an increase in SG&A as a percentage of sales of 200 basis points. While the SG&A rate was at its best level so far in 2024, the rate did increase year-over-year, mostly due to sales and marketing investments to drive awareness of the Wink brand and to support our online channels as well as continued investments in top talent. As a result our EBITDA in our Healthcare Apparel segment of $3.8 million was up from the year ago $3.1 million. Let's move on to our Branded Products segment which also achieved revenue growth of 11% compared to last year. The revenue increase was mostly driven by increased volume with existing customers including the revenue shift discussed earlier as well as the addition of many new customers. For now, we're taking market share by adding new customers, which is helping to offset some legacy customers largely coming in with smaller orders and which we believe will further fuel our growth once the environment improves. Overall, the business has played out as indicated on our prior call. Similar to the second quarter, demand trends were reasonably solid, even though there's still a fair amount of customer caution. In addition to the top line growth during the quarter, our gross margin expanded 160 basis points and we were also able to reduce SG&A as a percentage of sales by 180 basis points. As a result, our EBITDA was up more than 50% over the prior year to $10.7 million and our EBITDA margin expanded more than three percentage points. Next up is Contact Centers our highest margin segment which had a 4% year-over-year sales increase driven by new customers, partially offset by lower sales from existing customers. Our investments in talent and satellite offices to support future organic growth are reflected in our healthy win rate and pipeline of new business, but are also currently affecting our gross margin and SG&A. As a result, our EBITDA was $3 million versus $4.1 million in the prior year period. Our longer-term strategy for contact centers is to grow our customer count catering to small and medium-sized enterprises. In addition to significantly launching and growing our sales team and increasing our marketing spend we're also deploying the very latest technology to benefit the customer experience, enhance our efficiencies and competitive edge, and to profitably grow over time. With that, I'll turn it over to Mike, who will take us through our third quarter results in detail and update you on our full year outlook. Mike?
Mike Koempel: Thank you, Michael and thanks everyone for being on today's call. Starting with our high-level consolidated results for the third quarter, we grew revenues 10% year-over-year which was our strongest growth rate so far this year despite still soft market conditions. Taking a look at what drove this performance, Healthcare Apparel revenues were up 11% to $33 million and Branded Products revenues were up 11% to $93 million. As we expected, the timing of revenues due in part to the supply chain delays we referenced last quarter benefited our third quarter results for these two segments. Contact Centers also grew year-over-year with revenues up 4% to $25 million as new customer growth was partially offset by lower revenues from existing customers. We expanded margins and profitability during the quarter with our consolidated gross margin growing 130 basis points over the prior year third quarter to 40.4%. Both Healthcare Apparel and Branded Products saw stronger gross margins up 310 and 160 basis points respectively, benefiting from cost of goods favorability associated with healthcare production at our Haiti manufacturing facility during the quarter as well as favorable sourcing mix and pricing within branded products. Gross margin for Contact Centers was down 60 basis points mainly due to wage increases for our agents. Turning to SG&A. Versus the prior year, we were able to hold expenses almost flat as a percent of sales, up just 20 basis points to 34.9% Our SG&A expenses were $52 million, up from $47 million a year earlier, primarily driven by increases in employee-related costs, commissions, marketing investments within Healthcare Apparel, professional fees, and satellite office expansion and bad debt expense for contact centers. Moving to the EBITDA line, our third quarter grew to $11.7 million, up from $9.3 million in the year ago quarter representing a full percentage point expansion in our EBITDA margin as previously mentioned. On a segment-by-segment basis, our Healthcare Apparel EBITDA margin expanded 110 basis points to 11.4%, driven by higher gross margins, partially offset by investments in marketing and talent. The Branded Products EBITDA margin was up 330 basis points to 11.6%, benefiting from both expanded gross margins and operational leverage on the top line strength. However, contact centers our smallest segment saw an EBITDA margin decline from 16.8% to 12.1% driven by increased agent costs and the aforementioned investments in talent to drive the pipeline for future growth. Moving further down our income statement, our third quarter interest expense was $1.6 million, improved from $2.5 million in the prior year period, driven by a $36 million reduction in our weighted average debt outstanding as well as a 110 basis point decrease in our weighted average interest rate. Our net income for the third quarter also improved to $5.4 million, up from $3.1 million in the third quarter of 2023. This equated to $0.33 per diluted share up from $0.19 in the year-ago period. Shifting gears, our balance sheet remains solid. We ended September with cash and cash equivalents of $18 million compared to $20 million at the start of the year, while debt outstanding was $85 million at quarter end, improved from $94 million at year-end 2023. These results include $6.3 million in share repurchases during the quarter, which I'll touch on in a moment. Our operating cash flow remains strong having generated $24 million year-to-date and our net leverage ratio for the third quarter was 1.6x trailing 12-month covenant EBITDA an improvement relative to 2x at the end of 2023 and 2.9x a year earlier. Regarding our share repurchase plan announced on August 12, during the third quarter, we repurchased approximately 452,000 shares for $6.3 million translating into an average price of $14.05 per share. We ended the quarter with roughly $3.7 million remaining under our buyback authorization and continue to view our shares as a compelling value. Now turning to our outlook. We're reaffirming our full-year 2024 expectations which reflects the acceleration over our first-half results that we mentioned last quarter largely driven by our strong third-quarter results. Therefore, we continue to expect revenues in the range of $563 million to $570 million and full-year earnings per diluted share in the range of $0.73 to $0.79. With that operator, Michael and I would be happy to take questions. If you could please open the lines.
Operator: We'll now begin the question-and-answer session. [Operator Instructions] And our first question comes from Kevin Steinke with Barrington Research. Please go ahead.
Kevin Steinke: Good afternoon.
Michael Benstock: Good afternoon, Kevin.
Kevin Steinke: I wanted to start off by just asking about you talked about last quarter and obviously today, just some supply chain delays and some of that revenue being pushed out from the second quarter into the second half of the year. Would you kind of characterize the benefit to the third quarter here from that pushed out revenue still kind of in the few million dollars range?
Mike Koempel: Hi. Kevin. Yeah, this is Mike. Yes, as I mentioned last quarter, we estimated that impact to be about a few million dollars and that effect was the case all largely received here in the third quarter.
Kevin Steinke: Okay. And you mentioned still some customer hesitancy, although maybe some modest improvement in sentiment. Maybe, if you could just dig a little bit more into what you're hearing from your customers in terms of their outlooks and their spending plans and if things kind of start to improve, now that we're post-election or any other factors that you might want to touch on there?
Michael Benstock: Okay. You have to take it by business segment. So I'll start off with the Branded Products. And we're hearing much the same that we were hearing last quarter. Demand is edging up. We had a very nice third quarter obviously in branded products. But still the uncertainty, I mean hopefully after last night and this morning with certainty around at least the presidential election, that is one thing off the table that will become more certain and stabilize things. But people are still managing their budgets very tightly. And there's always a few surprises in the fourth quarter. Sometimes very good surprises like last year we had a stupid fourth quarter. So there could be those kind of surprises this year, again in fourth quarter where in branded products, we're going up against some pretty tough numbers. But we – none of this is really an excuse for us not performing. We're performing well right now. We should perform well in the future. As I said yes, we're going up against tough numbers from last year. But as Mike said, we're keeping our guidance as we're feeling very, very comfortable within the range of our guidance that we can hit those numbers. But I say it over and over again, the market is huge and we have a lot of share we can take in the market and we continue to do so and be very, very aggressive. And we don't manage the business from a quarter-to-quarter basis. We have a much more long-term view of the business. And we think that there's going to be some real growth in our future with some of the great strategies that Jake and team and our branded products has put together. When you get to health care apparel, we're seeing all of the different channels that we sell in are doing quite well except for brick-and-mortar. The trade accounts are definitely seeing a slowdown of traffic in their stores as things move to more digital. But we've seen soft consumer spending during this election season in our consumer-facing business. And again, that's mostly in the retail distribution. They're cautiously optimistic. We just went to a show last week where it's a retailer it's called the URA. It's the Uniform Retailer Association Show, where we were the bell of the ball. Everybody was really excited about all the newness that we brought to the market with our new team. We were inundated with people walking into our booth, while the rest of the show was pretty quiet. So we believe that demand will return post-election. But on the – I know you're going to ask this question but I don't answer it now and that's on the industrial laundry side of our business. We've really seen no discernible difference in that business. That business is going along just fine. Now on the – I don't think the contact centers is so much it's not a buying and replenishment type of business like the other businesses are. But we have seen slow decision-making. We said it before our pipeline is really robust. Our new sales team is I think is crushing it for being a young and so they've only been at it for now a few months really most of this year. And I think they're making great progress. We go through all the opportunities that they're putting on the prospects that they're bringing to the table every single week. Our win rates are nice. We had a couple of offsets to those win rates and then we had some customers scale back considerably, as sometimes they do seasonally. And in some cases Mike spoke about an AR write-off which he can speak to later on but that was also a lost customer as well as an AR write-off. So, but things are progressing in the right direction and I would hope, the Fed certainly is going to make a move soon on interest rates already made one. The presidential election is behind us. I think there's a lot less noise in the future. I'm excited for next year. And I think our budgets for next year will reflect our optimism.
Kevin Steinke: Okay. Excellent. That's excellent insight. And you mentioned some slow decision-making in contact centers that I think you had also referenced just some lower revenue from existing customers. I mean there's – again, I guess is that just due to the overall hesitancy in the market environment. Maybe I don't know, if some customers have taken out a few seats or maybe what's going on there?
Michael Benstock: I think it's a combination of a lot of things. One of the things we haven't spoken much about is we're constantly on the lookout for new geographies that are less expensive because customers, they are looking for more cost-effective solutions. For many, many years and still the nearshore that we provide is a very cost-effective solution. But we know that we might have to go further away than nearshore to find cost-effective solutions. And we're in the process of building up strategies around that over the next year that we think will at least give us an alternative to customers who might leave us because they found a cheaper environment somewhere. And there are less expensive environments in India, South Africam the Philippinesm and many other places in the world. So we're in the exploration phase of that. We're not very far along. But I would imagine a year from now we'll be able to tell you a different story.
Mike Koempel: And Kevin, this is Mike. I would just add as it relates to existing customers from quarter-to-quarter we could see increases or decreases. I certainly wouldn't look at the lower revenue from existing customers this quarter as any sign of a trend. In fact we had added seats for existing customers the first half of this year. So it's typical that there can be ebbs and flows in addition to obviously our focus on adding new customers going forward.
Kevin Steinke: Okay. That's helpful. I guess lastly, so with you maintaining the guidance range and the strong third quarter revenue the top end of the revenue outlook implies revenue kind of flattish sequentially compared to the third quarter or down a bit, as you move down the guidance range. I mean, I guess would you attribute that to some of the factors you mentioned here tough year ago comp and just I guess customer hesitancy, supply chain push forward into the third quarter et cetera. Is that the way we should think about it?
Mike Koempel: I think that's right Kevin. Yeah. I think we certainly had some I'd call it tailwinds here in the third quarter. You touched on the shift that we benefited from out of the second quarter which gave us again as Michael mentioned I'll say near record sales for the third quarter. So it would imply that we're in the fourth quarter going to be flat to down sequentially. But again that's a tough comparison given the strong quarter that we had, but as Michael said still comfortable within the guidance range.
Kevin Steinke: Okay. Thanks for all the insights. I'll turn it back over for now.
Operator: And the next question comes from Jim Sidoti with Sidoti & Company. Please go ahead.
Jim Sidoti: Hi. Good afternoon. Thanks for taking the questions. It sounds like you were able to bring some new sales folks on board in the quarter. How long does it typically take for them to start to contribute?
Michael Benstock: Yeah. What we were speaking of are new salespeople that we brought on for TOG. And so you got to keep in mind Jim that prior to about a year ago we didn't have a sales force at TOG. We built that business without a sales force. We use brokers we use referrals our website word of mouth and really we've been very, very fortunate that we have a sales force. So my answer to you is, we don't know yet. Because we know that we've had a salesperson who started with us not very long ago, I think within six weeks had signed up a new customer. That's not typical. But if they come to us from the industry which is where we're trying to hire them they typically come with some connections. We would hope to be able to turn some of their connections into customers within a year, but they're prospecting the whole time they're with us not just the people they know. We've come up with some very good lead list. We have pretty good recognition and a pretty good story to tell. The goal would be that they're paying for themselves very quickly within six months. But certainly within a year they should be producing many times in revenue at least of what we're paying them.
Jim Sidoti : Great. And how would you describe your pricing power at this point? I know you put in a price increase about a year ago. Is that stuck? And do you think you can continue to raise prices? Could your cost go up?
Michael Benstock : It's an interesting question. For people who have never outsourced before which has been largely how we built our business our pricing is just fine, because it's considerably less than their cost in the United States sometimes as much as 60%, 70% lower than what they're paying in the United States on a per hour basis when they think of all the other overheads they have of having to recruit people and pay bonuses and all the other things that they have to do as well as office space and computers we provide all that. So ours is a flat rate that saves them a lot of money. So for them it's like stars in their eyes that can save that kind of money. For people who have outsourced for a long time in different countries and are looking at us as an alternative because they've been somebody has recommended us to them. That gets more down to price nailing down the right price, which we want to be all things to all people, which is why I said earlier we are going to find a lower cost solution in the future and we feel like it would be a great advantage even to some of our customers who want a blended cost between a much lower cost and a nearshore. And so it's price sensitive. We're not without competition. We have a ton of competition out there. So we've got to be very, very price conscious. Up till now it hasn't been as much of an issue, because it's been smaller customers who haven't outsourced. But if we're going to grow this business double digits which is our intention to get back to that again. You're talking about having to put on literally as you grow three, four years down the road we'd have to be putting on 1,000 people a year. You're not going to do that with 25 seat customers. So you've got to find a value proposition for larger folks as well.
Jim Sidoti : All right. And then last one for me. It looks like you bought back about $6 million worth of shares in the stock in the quarter. I think it was a $10 million buyback authorization. Do you expect to complete that in 2024?
Mike Koempel : Yes, Jim. So as of the close of business yesterday we had about $2.6 million remaining under our $10 million authorization. So we obviously continue to believe that our stock is a good value and we'll certainly manage the plan going forward and get into the market where we feel like there are good opportunities and continue to buy against the authorization as we deem fit. And obviously, we continue discussions with the Board in the context of our overall capital strategy to determine to what extent we may want to do more in the future. But again that's ongoing dialogue that we have with our Board on a regular basis. But again, we'll continue to monitor the share price and purchase as we see fit under the current authorization.
Jim Sidoti : All right. Thank you. That's it for me.
Operator: The question comes from Keegan Cox with D.A. Davidson. Please go ahead.
Keegan Cox : Hi, Michael, Mike. How are you?
Michael Benstock : Good. Thank you.
Mike Koempel : Good. Thanks.
Keegan Cox : I just had a question on the Branded Products segment. I was wondering if you were seeing any pockets of strength in that business. Are there any specific industries or macro factors impacting it?
Michael Benstock : I think what I would say is, a year ago we saw a big downturn in our tech customers buying, and a lot of that has resumed now. So that's good news. And that's what was maybe dragging things down a year ago even though in the fourth quarter we had a great quarter last year. But throughout the year we were struggling a little bit. So I think we're seeing a lot healthier customers out there today. There's still budgetary concerns. And it's amazing to me how we've done more RFPs than we've ever done before. But literally we get to the finish line with some of these. And more so now than ever they're coming back to us and these are multimillion dollar bids coming back to us and saying I ran this by my Board and they asked me to defer it until next year. And that's very frustrating to Jake when they work on these things because under normal circumstances those things would have closed already and we probably would have seen some of that revenue in fourth quarter and first quarter next year and even into second quarter on some of the more customized items. So it's kind of a mixed bag.
Mike Koempel: And I would add Keegan much like we just explained in the second quarter we're continuing to see more orders smaller order size which again as we mentioned before we think is actually an advantage to us because obviously we can work especially with new customers to grow that share of wallet over time. So continuing to see that trend. But to Michael's point not a particular weakness or concern in any one particular industry.
Keegan Cox: Awesome. And then just a follow-up. You mentioned a little bit of sourcing favorability and pricing in healthcare apparel and branded products. I just wonder if you could give a little more color on that.
Michael Benstock: Sure. I mean in terms of pricing it's an area obviously that we're always focused on and where we have opportunities to push for higher pricing we certainly continue to do that. In the branded product space particularly in the promotional space where we're pricing order by order it gives us that flexibility again to where we can take advantage of price where we have an opportunity. From a sourcing standpoint we had some favorability in what I referred to as sourcing mix where for some of our larger customers we had higher margins based on the source of production in the quarter. So kind of a combination of product and sourcing mix working together which drove a higher margin for us here in the third quarter.
Keegan Cox: Thank you.
Operator: The next question comes from David Marsh with Singular Research. Please go ahead.
David Marsh: Hey, guys. Thanks for taking the questions. Just I guess one quick housekeeping. I mean in terms of the shipping delays that you guys had experienced in Q2 I mean would you say that they're completely resolved at this point? Or are you still seeing a little bit of that?
Michael Benstock: Well good question. I'd say that we planned around a lot of them that adding time to our lead times to make things happen so that they're less impactful to us. But no we are seeing – I mean, I had our sourcing group from each of our businesses the Branded Products and both our healthcare do a write-up for me recently on all the different places where there are delays. And there isn't a country in the world that's container shortages in Bangladesh and Pakistan. The Middle East conflict obviously is impacting Suez Canal traffic. Residual delays from rerouting shipments to the West Coast that were destined for the East Coast because of the strike they had to be rerouted. It’s a little bit – I mean, I can name 8 or 10 other things that are impacting the logistics side. It's not the factories. It's the logistics side. We getting a container picked up in some of these countries is becoming a very, very competitive environment. Prices have gone up accordingly. We'll pay the price. We've contemplated some of that in our pricing already but we've got to see what happens. There also was a huge shift of people ordering in advance and trying to get product into this country prior to Trump sitting in the White House which then it was if now it's when. And so there was a lot of pressure on a lot of factories as well as logistics companies to move product quickly and a lot was reserved, which has created delays.
Mike Koempel: And Dave like we mentioned in the last call we, obviously, made adjustments to our planning and our lead times when we began to see issues in the second quarter. So we wouldn't expect those delays to create -- have a significant impact on us in the near future.
David Marsh: Just as a follow-on to that, I mean, your inventory is down a decent amount from the end of the prior year and it's kind of one of the lower numbers you've had in a while. Do you guys have the inventory to supply the orders if they come in and if they come kind of roaring back here in the fourth quarter?
Michael Benstock: It's a great question. I'd say overall we do. With that said, of course, there's always I would say pockets of inventory that we are chasing that we have been chasing due to just changes in certain customer demand for certain products. So we are overall in a good position. And again just the supply chain together with our planning team just working to plug some holes in select products. Again overall we feel comfortable that we've got the inventory to fuel the fourth quarter, and obviously we're working toward our planning as we head into 2025 to make sure we're positioned appropriately as well.
Mike Koempel: If we ran out of inventory in fourth quarter, it would mean we had the most incredible quarter imaginable. So I don't know if I should say I welcome that happening or not, but that is the truth.
David Marsh: Yeah, always be careful what you wish for. Then just lastly for me just curious on the acquisition landscape if you will. You guys have not really done anything this year, it doesn't look like, but I'm guessing there are some opportunities out there perhaps. Could you just talk about maybe order of priority where you might try to pick up some assets if you can find some that are attractively priced?
Michael Benstock: As we've said in the past we don't speak about acquisitions before we do them except to say we're always in talks with people. And, obviously, with our leverage ratios what they are right now, we got a lot of room to do pretty much whatever we want to do and at least in the markets we serve there aren't a lot of larger competitors. It's mostly smaller competitors. So we kind of pick and choose the size and the nature of the acquisitions we want to do. We are active I can tell you in both branded products where we think there's just a ton of opportunity there. There always has been and there always will be to do some roll-ups one, two, three, however many we're able to do in the near future. And then on call centers, we're also looking particularly in areas that might give us a geography that would be very advantageous to us.
David Marsh: Sounds good. Thanks guys. Congrats on the quarter.
Michael Benstock: Thank you.
Mike Koempel: Thank you.
Operator: And the next question comes from again Kevin Steinke with Barrington Research. Please go ahead.
Kevin Steinke: Thanks. I just wanted to sneak one more in here. So in your earnings release, you mentioned ongoing growth-oriented investments, while at the same time striving to further optimize efficiencies and margins. SG&A year-to-date has been up, as a percentage of revenue although as you mentioned it kind of flattened out here in the third quarter. Just trying to think about the balance going forward. Do those growth investments continue at a similar pace to where they've been? And even if that continues, do you think you can get some SG&A expense leverage? Or does the pace of growth investment slow down here? Just trying to think about the SG&A line and potential leverage opportunity there, as we go forward?
Mike Koempel: Sure. I think for the balance of the year Kevin, I think our SG&A rate will be pretty well in line with the year-to-date trend. So I'd say, here in the near term. I'd say overall, I would not expect significant increases in additional investments. In each one of our segments, we talk a lot about talent and in particular investing in sales talent, Michael mentioned in our contact center business, which obviously has been an incremental investment in this past year. We've been obviously making a lot more of a marketing investment now that we're in year two of our direct-to-consumer launch. So I think we've made some bigger investments this year that we would expect to begin leveraging, as we go forward. Again, we recognize that these investments have put some pressure on our rate in the shorter term, but we feel like we'll get leverage and get top line growth off of those investments as we shift into 2025.
Q – Kevin Steinke: Okay, that sounds good. That’s really helpful. Thanks a lot.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Michael Benstock for any closing remarks.
Michael Benstock: Thank you, everyone for being with us today. We of course look forward to providing our next update with full year results. Please reach out, if you have any further questions. Enjoy the evening and thank you as always for your interest in SGC.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.